Operator: Good day, ladies and gentlemen, and welcome to the Second Quarter 2013 Standard Parking Earnings Conference Call. My name is Charlotte, and I will be your operator for today. [Operator Instructions] I would now like to turn the conference over to your host for today's conference, Marc Baumann, Chief Officer and President of Urban Operations. Please proceed, sir.
G. Marc Baumann: Thank you, Charlotte, and good morning, everybody. I'm Marc Baumann, Chief Financial Officer and President of Urban Operations at Standard Parking Corporation. Welcome to the call for the second quarter of 2013. I hope all of you had a chance to review the earnings announcement, which was released last evening. We'll begin our call today with a brief overview by Jim Wilhelm, our President and Chief Executive Officer, and then I'll discuss some of the financials in more detail. After that, we'll open up the call for a Q&A session, as Charlotte said. During the call, we'll make some remarks that will be considered forward-looking statements, including statements as to our 2013 financial guidance; statements regarding financial expectations relating to the company's merger with Central Parking; and other statements regarding the company's strategies, plans, intentions, future operations and expected financial performance. Actual results, performance and achievements could differ materially from those expressed in or implied by these forward-looking statements due to a variety of risks, uncertainties or other factors, including those described in our earnings release issued yesterday, which is incorporated by reference for purposes of this call. I would also like to refer you to the Risk Factors disclosures made in the company's filings with the Securities and Exchange Commission. Finally, before we get started, I want to mention that this call is being broadcast live over the Internet and that a replay of the call will be available for 30 days from now. With that, I'll turn the call over to Jim.
James A. Wilhelm: Thanks, Marc, and good morning, everyone. Welcome to our call today. I'm pleased to talk with you today about the company's solid financial performance for the second quarter. For legacy Standard locations, gross profit on a same location basis for this year's second quarter increased 3% over the second quarter of last year when you take out the impact of one large contract re-trade that's still impacting year-over-year same location result. The location retention rate for Standard's legacy portfolio was 88% for the 12 months ended June 30, 2013 including the impact of the merger-related location divestitures. Location retention for Standard's legacy portfolio would've been a little better than 89% for the 12 months ended June 30, 2013 when you exclude the divestitures. For Central's legacy portfolio, location retention since the merger closed was 83% on an annualized basis. This, too, was impacted by the mandatory divestitures. Excluding those divestitures, annualized retention for the Central portfolio would have been 87%. In terms of new business, recent wins include several hotels throughout the Greater New York metropolitan area, as well as municipal contracts with the cities of Long Beach, California and Newport Beach, California, as well as the Albany, New York Transit Authority. In addition, our SP Plus Gameday operating division provided its event logistics services throughout the month of July in connection with the recently concluded Gold Cup Soccer Tournament at multiple locations across the United States and has been engaged to provide services for the 2014 and 2015 Women's World Cup Canada. In addition to the strong operating performance I've just mentioned, our integration activity is also proceeding as planned. We converted our first group of locations in Oklahoma and Nebraska to a common support platform as of July 1. Once we're finished evaluating that conversion process and making any appropriate changes, we'll begin converting other locations on a state-by-state basis at a regular monthly pace starting again on October 1. We expect to complete the conversion of all locations on-time by the end of 2014. In addition to the platform conversion, we have also effectively completed the consolidation of our regional office footprint, reduced from approximately 90 offices between the 2 companies at the time of the merger to 62 offices today. This consolidation will save approximately $2.4 million per year in occupancy costs. As you saw in our press release in June, we recently announced our intent to adopt SP Plus as our long-term brand, and we're planning to roll out the process in a systematic and cost-conscious way. The first step occurred in June when we converted our employees from separate Standard Parking and Central Parking e-mail domains to a single SP Plus e-mail domain, getting us to one e-mail platform. The next step will occur before the end of the year when our legacy branded SP Plus service lines and operating divisions begin to support the new SP Plus look and we roll out a new website. We'll continue to provide our parking services under the Standard Parking and Central Parking brands for now until we're ready to cost-effectively transition to the new brand, which we expect to start during 2014. To summarize, we're extremely pleased with where things stand right now. The integration of the 2 businesses is proceeding smoothly. The 2 teams are meshed together well, and you've heard me talk about that on the last several calls, and we truly are operating as one organization. As importantly, our success on the integration side hasn't been at the expense of the business. As an organization, we've kept our eye on the ball and continue to remain focused on the main task at hand, operating and growing the business successfully. As we look to the second half of the year, we're optimistic about our prospects and the future potential of SP Plus. With that, I'll turn the call back over to Marc to lead you through a detailed discussion of our financial performance for the second quarter.
G. Marc Baumann: Thanks, Jim, and hello again, everybody. Again, this quarter, in addition to comparing our results to the same quarter last year, we're making a sequential comparison to help identify trends in key captions for the merger company. While there is a seasonality component to the sequential quarter results, we believe this is a more helpful presentation than merely comparing a second quarter to the same quarter of last year, which, of course, only reflects pre-merger results for Standard Parking. 2013 second quarter gross profit increased 84% over the same period of last year, obviously driven by the merger. More meaningful is that gross profit grew sequentially Q1 to Q2 of 2013 by 12%. This increase was fueled by solid underlying growth that was accentuated by the fact that Q2, as we've regularly mentioned, has historically outperformed Q1 due to seasonal impacts. G&A expenses excluding merger and integration costs increased $13.3 million from Q2 of 2012 to Q2 of 2013 as a result of the merger. On a sequential quarterly basis, G&A excluding merger and integration related costs was essentially flat in Q2 as compared to Q1 of 2013. G&A excluding such costs as a percentage of gross profit was 52.1% for the 2013 second quarter. We still have some work to do to get this down to our long-term target of 45%, which will require gross profit growth, coupled with additional synergies to be realized once the IT integration is complete. Nearly all the synergy savings realized to date resulted from the field and executive reorganization. The next round of synergy savings will materialize once IT integration is substantially complete. As we said, that should be by the end of 2014. Importantly, we remain on pace to achieve the targeted $26 million of cost saving goal that we have for 2015. EBITDA adjusted for merger and integration related costs was $21.1 million for the second quarter of 2013, an increase of 49% over the second quarter of last year, an increase of 28% over the first quarter of this year. All numbers for those periods being on an adjusted basis. It's worth noting that we've decided to highlight EBITDA again as a measure of performance that is unencumbered by the amortization of intangible assets acquired in the merger. Earnings per share on a GAAP basis were $0.15 for the second quarter of 2013 as compared to 0 for the first quarter of 2013 and $0.26 for the second quarter of 2012. Earnings per share adjusted for merger and integration related expenses were $0.23 for the second quarter of 2013 as compared to $0.11 for the first quarter of 2013. On a year-over-year basis, adjusted EPS for the second quarter of 2013 decreased $0.19 from the second quarter of 2012. The second quarter of 2012 represents the results of the premerger Standard Parking on a standalone basis. Of this $0.19 decrease, $0.13 was due to the amortization of intangibles acquired in the merger, and you can see we've highlighted that number in the release for your benefit. The company generated free cash flow of $10.3 million in the second quarter of 2013, although free cash flow for the first half of the year was a negative $3.1 million. The year-to-date free cash flow was somewhat less than we expected due to a large cash receivable from a major airport. We've now collected about $10 million of that past due balance since the end of the quarter and still expect to generate $30 million of free cash flow for the year. Based on the year-to-date and quarter results, we're reaffirming our full-year expectations of earnings per share of between $0.75 and $0.85 excluding all merger and integration related costs. On a GAAP basis, we expect full-year earnings per share to be between $0.60 and $0.70. As I just mentioned, we continue to expect to generate at least $30 million of free cash flow during the year. That concludes our formal comments. I'll turn the call back over to Charlotte to begin the Q&A.
Operator: [Operator Instructions] Our first question comes from the line of Nate Brochmann from William Blair.
Nathan Brochmann - William Blair & Company L.L.C., Research Division: I wanted to talk a little bit just on the top line, meaning gross profit, but you guys saw a pretty nice uptick. I know sequentially, it's seasonally a little bit stronger, but just the magnitude of profitability in terms of the gross profit margins seemed to pick up a little bit. I know you guys are kind of culling some things, and, obviously, that's shown up in your slightly lower than historical average retention rate. How much of that improvement in profitability is focusing on profitable accounts versus, maybe, some sell-through of some additional services, et cetera? Just if you could talk about the strength there a little bit.
James A. Wilhelm: Well, we're not culling profitable accounts, Nate, from...
Nathan Brochmann - William Blair & Company L.L.C., Research Division: Culling unprofitable accounts, sorry.
James A. Wilhelm: Yes, I think that we're certainly -- there are 2 directions from -- on the unprofitable account front. One is, some of the accounts that we inherited where there were leases, and we've spoken several times about unprofitable leases that came over as a result of the Central Parking acquisition. As those leases begin to get to their end of the term, certainly, we get the benefit of that and try to re-trade those expiring leases on a more profitable basis. Second, I think that we've had some success with our internal audit team, as well as Central's internal audit. And the nomenclature is a little different. Central dispatched an operational excellence team. And we've been very focused about driving those folks together and then going out and analyzing the business opportunities where we've seen unprofitable contracts, whether they're leases or management contracts. And I think our numbers are reflective of that. We're seeing some same-store improvement, as Marc reported this morning, and some of that is the result of the economy. The hotel business in New York and Chicago have been, all along, what we expected, but maybe a little better. But I think driving operational excellence through some of the operations, looking at pricing, looking at marketing schemes, reviewing G&A expenses on those leases and reverse management contracts have contributed as well. We also have the periodic swings brought on by our risk management program. And there was no significant downtick this quarter in terms of what we had accrued for claims. And getting our arms around risk management between the 2 companies has an effect on that line as well, Nate. So that risk management work is a work in progress, as you might suspect. But I think that we're effectively getting our risk management people out to the locations and reducing our exposures for claims at our locations, not only in terms of damage claims or liability claims, but also on the workers comp side, which for Central Parking in several markets was twice as much as our loss experienced in those markets. So getting our people up, doing remedial training, investigating cases where we suspect some fraud may be committed also contributes up at the top line as we're not having to accrue those claims to the locations.
Nathan Brochmann - William Blair & Company L.L.C., Research Division: Okay, great. And do you think that you're vertical focus, too, is, obviously, having some impact on that, in terms of whether it be hospitals or education or municipalities?
James A. Wilhelm: Yes. I mean, look at the wins. We've been very focused this year when we're getting releases and information out about our wins. It's across the SP Plus Municipal field, SP Plus Gameday area, SP Plus Airport, adding on ancillary services to existing locations through SP Plus Maintenance and SP Plus Transportation. So we're fairly happy through the second quarter with the progress being made across the verticals. I think it'll take us through the rest of the year, though, to fully integrate the concept across the Central Parking platform. We started the year and focused the organization almost entirely, Nate, on client retention of the existing parking contracts, trying to avoid the natural trap of competitors walking into our legacy locations, talking about distractions. 100% of the field organization was directed and worked with our clients to assure them that not only would the high level of service that they were getting from both companies would remain in place, but that there would be a better product that would result from the ongoing integration of the 2 companies and the talent that we had. So we really haven't -- I've been very careful not to overload the organization, particularly those new colleagues that have joined us from Central with imposing quotas or unrealistic expectations on growing our verticals across those locations. It was always our expectation that we would begin to create a higher expectation in year 2. That being said, the Central Parking team in Southern California has been very, very successful with some of the wins on the beaches and the beach communities and on the municipal side. So the melding of SP Plus Municipal Services, for instance, is well as on its way. So it's a pretty exciting time to be here to watch this evolve.
Nathan Brochmann - William Blair & Company L.L.C., Research Division: That's great. And then I'll just add one quick question, and then I'll turn it over. But in terms of the synergy benefit, I mean, it sounds like you guys are right on plan if not maybe a little bit ahead, and congratulations on that. It does kind of sound like, in terms of the real synergy benefit, that we'll take a little bit of a pause here until we get the IT system in place, which I know you've said is by the end of next year. I just want to see if I'm reading that right or if there's any more process things in the pipeline that you're either pulling forward or additional benefits that we might see over the next couple of quarters.
James A. Wilhelm: No, you're right. However, 2014 will realize the full annual benefit of what we've accomplished in pieces in '13. So we talked this morning about getting ourselves into 60 offices instead of 90. Well, that process of how, paying rents at places we've vacated and the process of timing and operational changes, all had some impact on our numbers in 2013. So 2014 will be a clean year, as Marc defined, in the operating areas and the executive levels, right? So we'll get some benefit of the synergies onward in '14. And then as we get through the conversion and into 2015, then we realize the process savings, which is -- we sort of talked about them in the releases as IT. But it's broader than IT, really. It is in all of those departments that depend on technology to process payroll, receivables, treasury that are still redundant across both organizations. So that's where the next major chunk of annualized synergies will come, but we do get some benefit as we look to 2014's full benefit from what we've done this year.
Operator: And our next question comes from the line of Daniel Moore with CJS Securities.
Daniel Moore - CJS Securities, Inc.: So let me talk a little bit about pricing environment. Obviously, the weakness in the market we saw in the last few years, same period. What are you seeing now and going forward? Do you still expect pricing declines during the early years of contract renewals? Or can we get back to pricing being a driver of growth sometime over the next couple of years?
James A. Wilhelm: I would define the current environment as reasonable. For the first time in a while, we're seeing a realization that some of the folks that took the bait on taking very low fees or very low margins are experiencing the pain of that. And the discipline that we showed is beginning to pay off as we see more reasonable pricing. One of the things that we've been very, very focused on as an executive management team since the time of the merger, and we spent a lot of time as a group on that this summer, is how we take our pricing model to the market in the future as a merged company. And we're pretty excited, based on our service offerings and the qualities of service that we bring to our clients, I think clients do realize that there's a difference and that we're not a commodity, based on what we can bring to the table in terms of marketing opportunities, the talent of our staff. So that I think we're going to look to begin to shift our pricing model in the future, a, to make us more closely tied to the client. I think that we think that we are coming out of a difficult economic situation, and we'd like to take advantage of what we think will be an improving economic situation in the future and align ourselves with what our clients are looking for in terms of putting our -- literally, putting our money where our mouth is and making sure that there's transparency to the client on our client statements. And having worked through this acquisition, I think that we're pretty excited about how we're going to go to the market as we get into 2014 as a merged entity. And the way we price ourselves to our clients may be rather novel and revolutionary to the industry as we look to the future. We think the scale and our leverage and our talent and our products may enable us to do that. That being said, where we're seeing RFPs and where -- on both the private sector and the public sector, I would describe pricing as reasonable at the moment.
Daniel Moore - CJS Securities, Inc.: Very good. And a quick follow-up, how long would you expect the rebranding efforts to take place? And any incremental expense required that you would -- that you might call out?
James A. Wilhelm: There'll certainly be some incremental expense. Again, that -- we don't -- our parking customers are not looking for a specific brand. When people choose where they're going to park, unless they're long time monthly parkers that enure some benefit from us or they may be future opportunities for us to leverage our customer-facing opportunities to make brand recognition important for discounts or clubbing or issues like that, we really don't have our brand spread widely across our signage or our graphics and those sorts of things. As I said, our conversion to SP Plus started many years ago. The fact that we're converting the logo and adding some different color and some much more exciting identification with our brand is really client-facing in terms of trying to better describe what we do as an organization, which is not just parking cars anymore. So relatively inexpensive changes like changing our letterhead and business cards and logos on our webpages and creating new webpages, while very exciting, is not necessarily very costly. Certainly, though, the 2 areas that we have to look at that will have some costs are uniforms, where our people are in either Central Parking uniforms or Standard Parking uniforms. We have a lot of people already in SP Plus Gameday uniforms and SP Plus Airport Services. We will take the time as we go through the normal change-out of uniforms. And usually, each employee receives a new set of uniforms every year, some at our cost and some, where we have pass-through opportunities in our contracts, they will be renewed and refreshed with the new logo. So we'll minimize our exposure to the cost on our side where we would have had those costs one way or another anyway by virtue of transition. In terms of signage, I think, as I mentioned in the call, the last 2 products that will really change their identity are the Central Parking and Standard Parking locations. They pose probably the most significant challenges in terms of getting signage transitioned over. But again, as I said, some of that can be done with a very elegant patch at the bottom of a rate sign or on a form that monthly parkers already fill out that's computer-generated anyway, we just need to change out the logo. So I don't want to minimize the fact that there is a monumental effort going on in terms of getting the brand changed and getting the recognition transitioned over. But I don't think the costs to us we see as very significant, and we'll take our time doing it. There's really no reason for it to change overnight, that we can accomplish this through 2014 and take advantage of sort of the normal changeovers in uniforms and sign patches. And a lot of our materials for marketing purposes are resident to an electronic library these days, rather than a printed library. So we don't have to fundamentally change our library of collateral materials because they're all stored currently electronically, and those logos can be changed via electronics rather than printing.
Operator: [Operator Instructions] Our next question comes from the line of David Gold from Sidoti.
David Gold - Sidoti & Company, LLC: Marc, a little bit of question by way of management contract profitability. I know some of the shift, sequentially, is a function of seasonality. But can you talk a little bit to timing versus synergies there as to the increased profitability in the second quarter?
G. Marc Baumann: Yes, David, I don't think that synergies really are affecting management contract profitability at all. I think what you see is seasonality at work in a big way. And as Jim said, one of the things that we had in Q1 was some negativity on insurance reserve movements. We didn't have that in Q2, so that definitely is helpful as well. But I think it just reflects the strong underlying performance of the locations that we have now.
David Gold - Sidoti & Company, LLC: Perfect, okay. And then, when you think about the second quarter performance where we exceeded expectations, it sounds like you're standing on the $26 million number for synergies. Would you say that the dollars that have come through have been -- just come through a little faster than expected rather than -- obviously, you're not looking for more, but maybe things sort of accelerated a little bit on that front?
G. Marc Baumann: Maybe just a little bit. But when we had the Q4 call and we laid out our guidance for 2013, we talked in terms of $18 million of growth synergies being achieved through 2013. We're on track with that. We've taken the steps that we need to take already to achieve those synergies this year, so there aren't a lot of actions that we need to take between now and the end of 2013 to achieve those synergies. So I would say we're on track, maybe slightly ahead. But the main driver of the results that we're presenting here is really just the underlying performance of the business.
David Gold - Sidoti & Company, LLC: Got you, okay. And then just one more, again. I mean, you reiterated the 45% longer-term G&A target, curious on -- you spoke about how we get there, but curious on timing. Is that a year-end 2015 goal as well?
G. Marc Baumann: Well, I think that's what we have said before. Our expectation that we presented, again, in the Q4 call was that we would we try to get to around $100 million of EBITDA and G&A as a percentage of gross profit of 45% by 2015.
David Gold - Sidoti & Company, LLC: Perfect. And that's presumably year-end?
G. Marc Baumann: Yes. I mean, again, as we've said, our typical business model is that gross profit grows faster than G&A. So over time, if we do nothing other than perpetuate that relationship, we are going to see G&A as a percent of gross profit decline. So in order for us to get to 45%, we have to continue investing in technology, as we've done; find ways to drive costs out of our business; become more efficient; really control the growth of G&A cost; and at the same time, grow gross profit. And it was nice to see that, except for the impact of the one re-trade, that Standard's legacy business had same-store growth of 3% in the quarter. That is a nice thing to see because before, we've had a few quarters where we have been flattish in our same-store growth. And as we've talked, our long-term growth goal for gross profit is 5%. In order to achieve that, we've got to get same-store growth growing. So I think it was a nice little turning point, and I hope it continues. It's just one piece of data. But I like the fact that we could see some positive same-store growth. And that continuing, along with the efforts on technology investment, is how we get to the 45%.
Operator: Our and our next question comes from the line of Kevin Steinke from Barrington Research.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: So, Jim, on your first quarter conference call, you talked about that despite the fact that the organization was really focused on retention that new business performance exceeded your expectations. And I'm wondering how new business wins are tracking now compared to your expectations and what the pipeline looks like.
James A. Wilhelm: Well, it remains exactly as we talked about in the first quarter. We try to get our release out every now and then with some of the wins that we're having. We don't speak to all of them, but the pipeline itself is very, very active at the moment, both in the private and the public sectors. And I think the organization now has settled in as a sort of one working functioning unit out in the geographies. And we're starting to see that sales information assimilation coming together. I think I've talked on a couple of quarters that we've taken our CRM software, we've purchased a new product before we bought Central. And we've now assimilated the Central Parking information into that new CRM software. And the sales organization and the sales mission of the company now, Kevin, has melded into one. So the data that we're seeing in terms of in the bag deals and 90% probability, 70% probability, 60%, et cetera, et cetera, and those that are in their early -- or census taking areas, that data is becoming much more reliable than what we were used to in the past. And by virtue of it being reliable, it sort of gives me an opportunity about how helpful is the pipeline really and what is the reasonable sort of forecast for new business wins. Marc talked about us wanting to grow gross profit 5% or so every year. It's fundamental to how we do it. So same-store sales gets us a part of that, new business wins gets us another part of that, and then certainly selling additional products across existing products to boost same-store profitability even further adds the third primary component, at least in the sort of current short-term environment. So again, the amount of new business that we've written this year continues to exceed what I thought we could do. You would think about distractions, and you would think about the primary business being retention and organization and kicking off process change. And in the middle of that, the organization's gone out and won a significant amount of news. So I remain pretty optimistic as we look into the future.
Kevin M. Steinke - Barrington Research Associates, Inc., Research Division: That's great to hear. I also wanted to ask about your Click and Park product and where that stands in terms of its development and penetration across your client base.
James A. Wilhelm: Well, I can tell you that Click and Park, the legacy Click and Park product, we've rolled out to a significant amount of new locations this year. A lot of areas in the special event and stadium area expanded into legacy Standard Parking-operated stadiums and event centers now into Central Parking stadiums and event centers. We've also begun to migrate the product into our airport environment, which was a priority for this year, not only our legacy airports, but those that we acquired via Central Parking. So I think airports is the next large push for us in terms of reservation systems and the accompanying transaction, pay-in-advance opportunities. I can tell you that it is no longer a research and development expense for us that we're beginning to see profitability from Click and Park for the first time since we've instituted it, and that is terrific news. We've always referred to as we don't do a lot of -- have to invest a lot of capital and we don't -- for inventory or things. So products like Click and Park and others are our research and development, and we continue to leverage that product out to the larger organization. And maybe it's worth spending just a little bit of time on that statement because all of you have had some very nice things to say to us this morning about the second quarter and this 2013 year-to-date, and I appreciate that. But the company in the near-term will have its swings and ebbs and flows around just the historic movements of being in the contract service business. And as the economy improves a little bit, we get the uptick in hotels and airports that I was talking about or the sort of the normal ebbs and flows. And that's nice. And in the near-term, that's certainly the focus of the organization. But as I've been talking about publicly at a couple of your events and others', certainly, we have the ability, given the talent in-house, to execute that plan in the near-term. Retain our existing clients, build new business into the opportunity and use the formula that we've historically used to grow gross profit, become more efficient in terms of G&A by virtue of process, and we may be ad nauseam have been talking to you about progress made with synergies and getting process efficiencies out of the merged organization and the bottom line benefit of all that. And that's great. We have the ability to do that. However, at the same time, we're just beginning to understand sort of the long-term opportunities that are being created for us, given the organization that we've assimilated and our ability to leverage it. So whether it's reservation systems and the enuring transaction business opportunities or its nationwide advertising campaigns, given our size and our real estate reach and our consumer reach, or being able to have a look at national fleet management where we enter into more national agreements to leverage our size, to provide real estate to large fleets of vehicles across that platform. We're just now beginning to have bandwidth within the organization to begin to quantify what those opportunities might mean and how will the business model change for the future and what sort of alliances can we create to make sure that we're leveraging our size in terms of electronic reach to consumers and our ability to support advertising and our ability to take on national fleets and then also expand our service offerings to our existing locations at the same time. So I know that we spend a lot of time on what we're accomplishing in the near-term, and that's a great. Our ability to report that we're hitting our goals and we had a good quarter, we're on track with synergies, everything you've been reading about is very, very encouraging. But I think we didn't do this deal just to stand still on the same old, same old, right? And we're -- how can you grow an organization that will be up some significant size 2 years from now and 3 years from now and leverage that size in areas that we've really never thought about before? So I got to tell you, it's kind of a fun time to be around here right now. And I'm sorry, Kevin, to be on the soapbox with you, but I just wanted to give you a little insight into what's going on in my mind. And I appreciate all the nice comments about the quarter, but we're also beginning to have some time now to think about the long-term, and it's pretty exciting.
Operator: Thank you. And as there are no questions at this time, I would like to turn the presentation back over to Jim Wilhelm for closing remarks.
James A. Wilhelm: Thank you, Charlotte. Thank you, everyone, for joining us today and your questions and participation. I would be remiss if after making that speech that I just made that I didn't recognize my 25,000 colleagues that are making that happen in the field every day. We have put together a terrific group of people, and whether it's people that touch our customers on the front line; or our middle management team, which really has the bulk of the load every day in terms of executing; and then our executive team. I mean, it's truly a pleasure to work with some of our new colleagues and our legacy colleagues. And it's only with them and their hard work and on their backs that we'll make any of what we've talked about, either in the near-term or the long-term possible. And I want to acknowledge and thank them for all their hard work everyday. And thank you again for being on our call. So long, everybody.